Operator: Good morning, ladies and gentlemen. Today is Wednesday, October 16, 2013 and welcome to the Art’s-Way Manufacturing Company Incorporated Third Quarter and Nine Months Financial Results Conference Call. At this time all participants are in a listen-only mode. (Operator Instructions). Your call leaders for today’s call are Jim Drewitz, Investor and Press Relations Representative; J. Ward McConnell, Jr., Chairman of Board of Directors; Ms. Carrie Majeski, President and CEO of Art’s-Way Manufacturing; and Dan Palmer, President, Art’s-Way Scientific – Buildings For Science. I would now turn the call over to Mr. Jim Drewitz. Mr. Drewitz, you may begin.
Jim Drewitz: Thank you, Ross and good morning, ladies and gentlemen. Before I begin I would like to draw your attention to, except for the historical information contained herein the statements in this conference call are forward-looking and made pursuant to the Safe Harbor provisions as outlined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties which may cause Art’s-Way Manufacturing’s actual results in future periods to differ materially from forecasted results. Those risks include, among other things the loss of market share through competition or otherwise; the introduction of competing technologies by other companies; new governmental safety, health and environmental regulations which could require Art’s-Way Manufacturing to make significant capital expenditures. The forward-looking statements included in this conference call are only made as of the date of this call and Art’s-Way Manufacturing undertakes no obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances. Important factors that could cause actual results to differ materially from the expectations reflected in the forward-looking statements include, but are not limited to, factors described under the caption Risk Factors in the company’s Annual Report on Form 10-K filed with the Securities and Exchange Commission. With that completed I would like to turn the call over to Mr. Ward McConnell. Mr. McConnell?
Ward McConnell: Thank you, Jim. Obviously the results of this past quarter are not satisfying. You have seen the numbers, but there are some good things in the numbers as well. Overall Scientific had just an outstanding great year last year, extremely profitable and they’ve just not been able to get to that level this year and their sales are down considerably and while that’s happened, Ag business has been quite good. We have had our sales up a couple of million dollars from a year ago. Our earnings aren’t quite as well percentagewise but Ag has been good and currently we have a very nice backlog. We have a backlog and Ag is something in the vicinity of $1.8 million, almost 2 million versus less than $1 million a year ago this morning. So our backlog is looking pretty good going forward. Scientific’s backlog doesn’t look so good and then we have a situation with UHC where one of the OEMs they deal with is coming out with a new (Vialog) using our reels and deferred their purchasing in July, finalize their design on this reel. So they have not ordered in last couple of months and we haven’t had any sales from them in the last couple of months. So sales were down, we have adjusted to four-day week with them and we I guess kind of picked up one order since for Canada which will you help us in immediate months but we are waiting patiently for the OEM to come forward with their orders. But the biggest problem we have during the quarter that drop of the gross margin at Scientific and probably we didn’t react quickly enough it on it. We advertised quite heavily in couple other new markets like Ag and the results have been, not what we would hope for and I guess we reacted a little late to cut that back sufficient to save some money but we have cut back, we are down, how many points Carrie?
Carrie Majeski: Only down overall 20 employees
Ward McConnell: Overall. Here we got more than that. At any rate we are scared to death of your questions, wanting but we’ll try. So are ready for questions.
Jim Drewitz: All right Ross, let’s go ahead and start the questioning.
Operator: Ladies and gentlemen, at this time we will conduct a question and answer session. (Operator Instructions). Our first question comes from Brian [Hollenden] from Sidoti & Company. Please go ahead.
Unidentified Analyst: Good morning guys. Thanks for taking my call.
Ward McConnell: Good morning.
Unidentified Analyst: Can you talk a little bit about how large the inventory write-down was and what was the main reason?
Ward McConnell: Well we have a formula we use for writing obsolescence and we have, for example as of right now we have $3 million worth of inventory that is written-off and obsoleted and so on. We are very aggressive with our obsoleting of inventory. And $3 million out of a total inventory of $15 million is a lot. But we do, I consider as running conservative numbers and as part of it we have to make sure that we do ample, we sell all of it all the time. We will be selling more out of that. And then through the year we write it down fast, more in the interest of taxes and payments from taxes.
Unidentified Analyst: Is there are particular inventory that – that’s the reason behind that write-down or is there anything in specific or is it just broad?
Ward McConnell: I think it’s a farm machinery thing. Farm machinery is very custom, very short seasons and we forecast in advance and hopefully don’t give more than two years of inventory, some years we get about even. This year we came about even and beat ourselves. But results or situation in the Ag industry where we are required to keep spare parts for a number of years. And so we carry a lot of spare parts for machines that are 10 years old which are written-off and come back on and then we sell them. We had this obsolescence, obviously there’s some obsolescence in it but it’s not very much. We got some items that we got three or four years supplier we did have when we started out with it and that stuff is written-off and we sell it as we go on. Go ahead, Carrie.
Carrie Majeski: If I could just interject a little bit, I think the question is coming from the news release and where we talk about the inventory write-down. That had to do last year in the same quarter we actually had an inventory write-up related to past roll adjustments and this quarter we actually had a write-down. And so when you offset the two it had a larger impact on the quarter but we will again be taking our inventory count, count inventory every quarter. And we don’t anticipate having a large inventory adjustment in the fourth quarter.
Unidentified Analyst: Can you elaborate a little bit more on the labor inefficiency that was also in the release?
Carrie Majeski: Yeah, we did hire a new manufacturing manager about a year ago and I guess we have been struggling with the transition a little bit and getting everybody up to speed and due to the large number of products we run through our production faculty at any one time it sometimes takes a while to determine some of our inefficiency. So we are working on changing staff and bringing up the focus on productivity and efficiency.
Unidentified Analyst: Is that something that you see corrected by next quarter or is it a little bit longer sort of issue?
Carrie Majeski: It may be a little bit longer but we have been working on this for past couple of months.
Unidentified Analyst: Okay.
Ward McConnell: We’ve interviewed and selected some people that we think will help us on the efficiency. It dropped pretty low and of course that’s partly seasonal numbers. We think we can get that back up because we have the same people working in them. We had a little distention in our shop because of the manager that’s lacking and that’s just – I think he probably waited a little a long before the turnaround. It doesn’t appear at first. We take to the (bet) to up here but…
Unidentified Analyst: Okay. May be I can switch it up to the Scientific. Can you talk a little bit about the likelihood for additional contracts for ‘13 in terms of revenue?
Ward McConnell: Dan Palmer is on this call. He is our manager of that operation. Dan can you answer his question?
Dan Palmer: Sure we were in two market situations currently that are making our clients giddish about betting funds to our buildings. First of all with the government situation currently and the fact that much of the research that is conducted in our research buildings are NIH funded, there is no funding stream at this point. So with that both government leads, state and federal government leads, they is still there and they still want their product but they clearly can’t go ahead and commit funds. In addition to that they have made some changes in NIH guidelines and the way in which NIH research may conduct outside of the NIH campus is making for some delay in where programs will end up going so we’re dealing with that. We have the same amount of leads on our firm report we are managing same amount of clients as we traditionally do at this point in the year. Generally the fourth quarter of the year is when budgets are approved by the government for the falling year plus financial independent companies get approval to proceed with their next year. It’s a good time for us to close on business and the likelihood of closing business is very, very strong right now particularly with independent car companies, pharmaceuticals and contract labs. We like counted on few things happening this year that didn’t happen, haven’t materialized. We had entry of a formal science competitor called CPM LABFAB, a second generation person has entered into the market and they bought last three jobs at about 60% of the price that we would have gone in at. And so we lost those. We had done a bunch of work at the start of those and probably were specified and probably we are in pretty well but price was the final call on those and so we lost those. On the positive side we’ve done for marketing this year with Art’s-Way. We’ve gone through trade shows together where modular buildings for agriculture have been featured along with grinder, mixer and other types of pieces of equipment and that’s been highly successful for us, the numbers of leads that we have generated from those particularly, around the Calf Care buildings. We’re managing good leads on Hog Care and Calf Care Buildings, 27 of those to be exact which is pretty good number for this time of the year.
Unidentified Analyst: Thank you. And then my last question, again switching it up a little bit I was wondering can you talk a little bit about higher Ohio Metal Working Products, the acquisition in terms of will be accretive in ‘13 and just generally runway basis what has been its annualized sales and operating margins for that business to the extent you can give us a little more insight about it?
Ward McConnell: Yes, be glad to. First of all Ag is, this company started with Ag and is still very heavily involved with Ag. Ag over all its history has high peaks and very low valleys with sales. We’ve had a series of high peaks here in the last four or five years and I personally have seen products sold very low one year and sold zero of it the following year. This was quite a long time ago but to protect against that we think it’s a good idea to go out and get some diversity. This company came up for sale, we took a hard look at it. We think we made a very good purchase price and so on for it. It’s very profitable and makes tool bits for U.S. Steel and others. And we think it’s a good diverse product line for us. It’s more like tires wearing out in your car these things wear out and get replaced frequently. Every shop has them, our shop here in Armstrong, LA has tool bits and their lays and so on which are – it’s just universal so every machine shop in the world I guess certainly isn’t America. And it’s just, it’s so neat really, we went and looked at it was very clean, it was price right, it was manned totally. There is no fixing required. And so I thought it made as well as rest of it, thought it was a very good addition to the company. There is some nice amount of synergy between them in tool bits because we use them here at Art’s-Way. But mostly that wasn’t the reason, the reason was for diversity.
Unidentified Analyst: Okay. Can you tell us little bit more though on the – about how much in annualized revenue you’re expecting from the business? I know you mentioned highly profitable just generally operating margins what they look like?
Ward McConnell: They had a steady stream of after tax profit of around $400,000 to $500,000. Sales are somewhere north of $4 million historically and pretty consistent across the board. We obviously hope to be able to increase the sales there and work a little harder at it than they did. We do know who’s a wholesalers this material is and feel we can, everybody seems to know companies like Granger, and they don’t buy from the company but MasterCard was almost a parallel to Granger as a pretty good customer, Fastenol, some of you know Fastenol, these are the type customers they are as long with U.S. Steel, North Star down in Texas are their customers. It has a nice gross margin and it’s not going to strain our management pretty much. We can call our managers we didn’t remove anybody. We started looking at it and saying (inaudible) fix it.
Unidentified Analyst: Thanks for the update on that and I’ll jump back in the queue.
Jim Drewitz: Ross let’s go ahead to another question there.
Operator: Our next question comes from Roger Miller from Foggy Daze International. Please go ahead.
Roger Miller – Foggy Daze International: Good morning.
Ward McConnell: Good morning Roger.
Roger Miller – Foggy Daze International: Well it’s almost how and when you mentioned the scare. So let’s get by it, that was a joke by the way. Let’s continue on with Ohio Metal Working Products. Maybe you could very briefly, the name of the company is American Carbide, is that right or Ohio Metal Working Products.
Ward McConnell: Both.
Roger Miller – Foggy Daze International: Both.
Carrie Majeski: The name of the company is Ohio Metal Working Products, Inc., outright. However they sell their tools under both names.
Roger Miller – Foggy Daze International: Okay. I just wanted to clear that for any future discussion. Let’s talk about our competition including China or any competition within the U.S. here. How strong is that and what they do?
Ward McConnell: Well there is competition obviously but I probably can’t tell you a lot off hand but we – they are telling us that trainees are bringing more of that type of stuff in against them. But I just don’t know they are small pieces I mean it’s not a very big piece and that has to be on the shelf.
Roger Miller – Foggy Daze International: So it’s in on demand product, is that correct?
Ward McConnell: Pretty much.
Roger Miller – Foggy Daze International: And what is the inventory like at Ohio Metal?
Ward McConnell: About a million one.
Roger Miller – Foggy Daze International: And do you anticipate increasing the inventory or just run with what you – what they’ve been running with?
Ward McConnell: I feel we work on getting increase sales out of there. I don’t think we’ll be touching that inventory. They have around the shelf they have repeat orders I think they keep – Carbide may keep diamond on the shelf which is expensive stuff. But the rest of it is steel they’ve been financial strong it’s zero debt. And so their inventory might be a little heavy because they buy lot sizes for steel and so on in order to kept the lowest price and they are not very concerned whether it does move a million lands or some that inventory there and we obviously negotiated down that. But I don’t think we see much change inventory levels.
Roger Miller – Foggy Daze International: And you mentioned adding new customers.
Ward McConnell: That will be a challenge, yes.
Roger Miller – Foggy Daze International: You are going to do that through trade shows?
Ward McConnell: Well. Yes but we first of all want to go to rangers. Ranger’s big enough business and we do have a small amount of contact and Mark and Kennel and I do and at least we can get stop somebody there in Chicago. We are going to really go on for that. The other thing that comes to mind is that there is a lot of small tool distributors around and they have several of those but they have a few reps they only have one salesmen. But we are going to try to increase their sales, that’s going to be our challenge.
Roger Miller – Foggy Daze International: The simplest way to do that would be through salesmen, adding salesmen.
Ward McConnell: Perhaps.
Roger Miller – Foggy Daze International: One thing I wanted to touch on that you brought up briefly. You attended numerous trade shows this summer, at least seven that I know of.
Ward McConnell: Me personally.
Roger Miller – Foggy Daze International: Well, the company did, in ag.
Ward McConnell: In ag, yeah I guess so, I didn’t count them, but yeah.
Roger Miller – Foggy Daze International: Well the list that I printed off said seven ag shows everywhere from Iowa to Canada to the UK. Would somebody like to comment on any of these shows and your selling and advertising expenses has increased quite a bit this year. For nine months they were up 313,000. So what new accounts or new orders or what value did you get out of attending all these shows. How profitable do you think it has been so far and going forward?
Ward McConnell: We feel that we have to go to these ag shows to support our dealers. Our dealers help us with those shows, they help us manage. Let me back up a little bit. We had a new sales manager this year and we were a little bit slack before in and our literature was obsolete. We weren’t even use the current logos. We didn’t have any material that you’d use at a show other than literature which was dated. So we spent quite a bit of money upgrading the literature and have some new ones, overalls and so on but when you get new sales manager generally he knows how to fix the sales, but probably spend money on ads and so on. I don’t think we have a single show we go to that we would cut off may be the one in South Dakota. But I think the others were a far progress and a huge show the [inaudible[ show is a huge show in February. Those are very significant shows and we always do some business at those. New York, well, we did one in Canada this year for the first time and they came back all enthused about that and actually wrote some sales at that show. And we expect we are going to increase our volume in Canada, partially because of the show but not entirely by any means.
Roger Miller – Foggy Daze International: Well about moving in the agro trend then you are talking about Canada. What have you done in Canada to increase sales now that you brought a distributor and what products have you put up there? And I mean are they operating as well as you think they should?
Ward McConnell: It’s almost like a start-up. They were basically not shutdown but almost shutdown. And had a lot of excess inventory and they ran it down as far as they could without having nothing to sell them to. We’ve had three or four months of covering losses for it, we closed in June, may be July or September. We’ve been funding losses because of when the inventory picked up there wasn’t any sales going on. So we’ve corrected up and we’ve begun the making of snow blowers which is what they make. We’ve hit, attended the show in the ag and we’ve got three salesmen I mean up there now. That we know because they were our distributors and they came to our sales meeting and that was very much a positive and know well enough to know whether we wanted it or not. I mean we did we knew these guys and we wanted these three guys. We haven’t seen an improvement, yeah but we will, this we haven’t got a lot of inventory out there yet either. We are kind of here in Armstrong, we kind of we got a backlog. Our backlog here in Armstrong is over a $1 million more than a year ago now. And we got to get that delivered. We got to deliver what we have in our backlog before all we can start shipping to them on the (world cup). But the strategy was to get the distribution more than anything else and yes we picked up with snow blower Orion with they sell $2 million one year, $200 worth the next, the last few years they didn’t sell any of that, that’s why it was available.
Roger Miller – Foggy Daze International: Are you going to be able to bring that snow blower down to the states and sell it out of Iowa.
Ward McConnell: Yeah, when the snow comes.
Roger Miller – Foggy Daze International: Well that’s right around the corner.
Ward McConnell: And so the dealer’s first year had overloaded because they didn’t sell any, so last year they didn’t buy either as they hadn’t sold I think and if it snows it has to snow in the fall for them to sell. And despite your lawn blower just the last morning before snow you don’t plan doing, there just say they will snowball, they don’t buy it until it hits, it needs snow in the fall. But we have some inventory down here from there. And but it was a very, very cheap purchase and we’ve got all our fixed assets and so on at a very reduced price. But and we said that we have to start up. We do have to start because it’s so depleted. In contrast to the metal business in Ohio I mean we got – we had sales the first day we started and its ongoing so somewhat of a startup.
Roger Miller – Foggy Daze International: Did you drop to other lines in Canada that were being distributed out of there or are you still negotiating to distribute those too?
Ward McConnell: We have not done anything about it at all. We didn’t see enough sales to get very concerned about. But our guys learned just to continue with the couple of items and we haven’t really dealt with it. We’ve been concentrating on trying to get it running, get it making some products.
Roger Miller – Foggy Daze International: Well Carrie how does all this fit in, you’ve got a huge umbrella now, you’ve got Canada, you’ve got [inaudible] you got Iowa, how are you managing all this?
Carrie Majeski: Well it is going to little more difficult but we do. We are working on putting more staff in place. And like Ohio hand with very, very good staff sometimes in this acquisition especially when they had a hard time financially some of the key employees or the high level employees will have already left by the time we get there. Ohio really has a strong base that we’ll be using and pulling off up. And then in Canada because we are still familiar with them that’s been relatively easy because some of the reporting information that we normally need they’ve already been getting for us. But really how we manage it is everybody is on the same operating system. We all are on an ERT MRT system called QAD, and that’s puts together financials as well so has all the information is put into that system it’s all consolidated through there as well.
Roger Miller – Foggy Daze International: So there was no difficulty with under the financial accounting then right?
Carrie Majeski: Whenever you have a new acquisition there are a startup period where you need to get everything inline.
Ward McConnell: Let me say this we do all the accounting here in one location, we do all billing, all the collections, all the financial side of it is done here. And we can at any time watch and look into there. We have well known of any operations they are doing. So that line works pretty well here.
Carrie Majeski: However the largest challenge we had was dealing with the international aspect at Canada. But I think we have those issues behind us and our system does allow for the foreign exchange and the consolidation under the U.S. dollar. That was a little bit of challenge for us, it’s took several weeks to even get a bag counter staff working in Canada. That’s for the most part Ohio has been a relatively easy transition to bring them underneath the umbrella. And I think we are in pretty good going into the fourth quarter.
Roger Miller – Foggy Daze International: And looking forward for acquisitions, is that still going forward or is it, are you going to absorb what you have now, catch up with backlog put inventory in Canada and look to increase sales in Canada? And can you bring American Carbide, the bits and the tools to Canada, can you sale up there and use the synergies through your Canadian base?
Ward McConnell: It’s all agricultural base in Canada. I don’t know that these people, I don’t know they would be able to use the same sales effort of the Canadian… We’re going to work on the U.S. line first. We’ve got plenty of, I think plenty of green grass there.
Carrie Majeski: We do need to spend some time focusing on our production here in the space especially on the Ag side. We do like to keep inventory on hand of finished goods and we are pretty well depleted at this time. So that is a focus of ours but should the right opportunity come along and I think we are still very growth oriented.
Roger Miller – Foggy Daze International: Well for transparency going forward one more area I would like to discuss is engineering which was up to 382,000 from 240,000. What’s the advantages have you gained from this, from the engineering?
Ward McConnell: Our products were getting dated and competition was going past us in some areas, our grinder need upgrading it hadn’t been upgraded in some time our beet harvester takes continual upgrading. We have more people in there than we’ve had and that we’ve got a good manager there now. And I think we are also doing some exercises of cutting cost with these engineers, and helping tooling, helping a lot in the field with any problem so that they can change and repair or fixed and put in and integrated into our next year’s products. We were pretty short here. We only had a couple of guys here the last several years. And right now I think we have five. And Monday we’re going to have six. We really, my son has been pushing the hell out of that side of us to get the engineering department moved up then keep these products up to date. And when we want to make a new product to be able to work it. So and they also work with the manufacturing side. They keep track of crossed they keep track of costs they keep track of being sure that processes are correct, cost savings type exercises. But I don’t think we’re over stocked now, I mean we lacked it and it was beginning to hurt.
Carrie Majeski: Most of our products are not a commodity products especially on the Ag side. So we typically will see an uptick in sales in the product when you release the new model and you add selling features and decrease their run time or cycle time on the equipment. And the increase in the engineering efforts that also trickled in and part of the reason why the advertising and literature expenses out as well because as we put all these new products there is a push to bring those to the market.
Ward McConnell: And website we’ve always been behind on our website and we’re working on that at the moment as well. That’s one of – just cost isn’t quite traditional, but they are back people are buying this stuff off the website. They are driving down, rolling their tractor, or down the email.
Roger Miller – Foggy Daze International: So revenue, profit going forward what can you tell, the marketplace that, what would you like to say right now? How you can improve your revenue? You are doing it through these acquisitions. Is there anything you want to pinpoint about increasing revenue and profits?
Ward McConnell: I think we just said quite a bit about the engineering. Every time we bring in new model you get some additional sales, you don’t beat your own, and we got some products that are not as strong as they used to be and we have a very difficult time with P&R research because we have no time to R&D them. We send them to the field, and they use them for three-four weeks a year sometimes it’s two or three and that’s the only R&D time we really get in the field. So we have sent engineers out to find out the shortcuts and see what they can do to repair those things, not just repair those there but make it ready for the next year. Numbers are not very big. The numbers are, we sold 28 machines this year, that’s not a big number too I don’t know. The expectation of our beet harvester, Roger is that weren’t changed every year and we were reluctant with doing it cost money and so we began to lose some beet harvester sales. We are getting them back, expectations for the year obviously putting out answer this time here is kind of seasonally kind of past.
Carrie Majeski: I guess one thing that I would like to point out because it’s pretty difficult to see in the 10-Q but when you look at our overall ag segment for the quarter it’s showing about 2% decline in sales. However when you look at just Art’s Way Manufacturing which includes Armstrong and West Union has been our main mine, those sales for the quarter are actually up 12%, that UHC sales to that one OEM dealer where we were working on the R&D efforts that declines 53% for that segment. So that’s really following down our overall revenue gains for the quarter on the Ag side. And when we look at the backlog for the Ag segment going forward year-over-year we were showing 65% increase in sales are in the backlog right now today. Art’s Way Manufacturing backlog is drawn worth mentioning is that $1.8 million compared to $900,000 last year. So overall I think our revenues are looking probably relatively favorable.
Roger Miller – Foggy Daze International: Okay, well that’s all I have today and let’s give someone else a chance.
Jim Drewitz: Thank you, Roger. Let’s go ahead to additional questions then.
Operator: (Operator Instructions) And at this time there appears to be no further questions.
Jim Drewitz: Well, what a great call. Let’s close it off and bye. We’ll be back.
Ward McConnell: Okay, come back. Thank you.
Jim Drewitz: All right, thank you all for calling. appreciate it.